Operator: Welcome to U.S. Global Investors Webcast, U.S. Global Investors Earnings Announcement for Third Quarter 2014. If you have any questions during the webcast, simply enter your question in the dialogue box at the bottom of the screen and click submit. Also, you may download a PDF of today's slides by clicking on the Resource tab in the top center of your screen. You can also download some of U.S. Global Investors' latest research on the Resources tab. To switch back to the presentation, just click the Slide tab. We would like to begin by introducing Susan Filyk, Investor Relations at U.S. Global Investors. Ms. Filyk.
Susan Filyk: Thank you. Welcome, everyone, to our webcast announcing results for the third quarter ended March 31, 2014. The presenters for today's program are Frank Holmes, U.S. Global Investors' CEO and Chief Investment Officer; and Lisa Callicotte, Chief Financial Officer. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during this webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-Q filing for more detail on factors that could cause the actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today and U.S. Global Investors accepts no obligation to update them in the future. If you have a question for us, you can submit it at anytime during the webcast. Simply type your question in the dialogue box at the bottom of the screen and click submit. If we aren't able to answer your question during the live presentation, we will follow-up with you individually. Now let's go to Frank Holmes, CEO and CIO for an overview of the quarter. Frank?
Frank Holmes: Thank you, Susan. You can hop to Slide number 4. We're a boutique publicly-listed investment advisor specialized in gold and natural resource in emerging markets, domestic equities and muni bonds. But the real factor is that natural resources, emerging markets are significant factors. And where I think that we have been able to try to highlight to investors is that the real growth on the global scale has peaked in 2011 at 5.4% real growth and last year ended at 3%. It's hopeful that the next year or the second half of this year 2014 that there will be a rebound back to 3.5%. And we have seen once you will walk through with this presentation with us a decline in assets and just the whole perception of this real growth, particularly in emerging markets, and it seems to hop on, hop off of what they call risk on, risk off. But throughout this process, we continue to make sure that we're positioned as a go-to stock for exposure in emerging market resources. And this is where the world's population continues to grow at a very healthy robust rate. In many of the presentations around the world, I've commented on the significance of Facebook in other countries that have [ph] in China they're all informed of Facebook in Russia and people can connect it from the (inaudible) the American Dream. So that's just basically long term bodes well for both resources and emerging markets, which are growing to represent a greater portion of global GDP. U.S. Global is debt-free. It has a strong balance sheet, as we've shown on our visual slide, with a reflexive cost structure and which we'll try to highlight and Lisa Callicotte, our CFO, will walk through in some more details. And we still maintain, even through these challenges we believe we're going through (inaudible), monthly dividends and a return on equity discipline. We have very loyal top institutional holders and we thank them all for going through this process with us. And then on Page number 7, we have six years, the current monthly dividend is $0.05 per share and recurring yield is 1.65%, which is greater than a five-year government bond. On Page number 8, as you can see, the board has approved the repurchase of up to $2.75 million of its outstanding common stock on the open market through calendar year 2014. And during the third fiscal quarter of 2014, the company repurchased 35,065 Class A shares using cash of $120,000. And during the fiscal year to date, the company has repurchased 476,511 shares using approximately $230,000. We have an algorithm that's used to buy back shares on down days in accordance with all applicable rules and regulations that restrict amounts and times or repurchases. And we may suspend or discontinue at any time this program, but right now it remains intact. This important as the next visual show it's a transition year, streamlined operations and product lineup, shifted out of costly money market funds, provided shareholders an ultra-short government bond fund alternative and make money on the process of switching over from losing money. And then next is closed, merged and reorganized small funds for a far more focused product lineup and successfully transitioned client accounts to new transfer agency while retaining service relationships with our key VIP client accounts. And we streamlined the company with staff less than 50 people. Basically fewer distractions allow the company to focus on its core competencies and reposition for a new product lineup. On the next visual on 10, it's why did we shift out of money market business. And I want to share with you in a simple visual, it says look at the U.S. Fed Funds rate. You know rates in the five-year and the 10-year. Market just rebounded in the past 12 months, not so for money funds and fee waivers for the industry last year rose to a record $5.8 billion. And this is a key factor that we believe that whole world is going to have to be maybe what this extremely low rates if we take a look at Japan is doing it now for 24 years. And that's a real key concern of using monetary policy in which we build the U.S. Global think government policies are precursor to change. It appears that in America, input rates were to rebound 6% that the servicing of the debt alone would cripple the economy. And so when you look at the Japan model as a case study, that Europe and America is stuck in this sort of low interest rate environment to try to stimulate jobs and being a money fund this is not going to remain an attractive investment alternative for investor and for a company to try to provide them. So we're going to hop over into the next visual and you could see that U.S. government secures ultra-short bond fund that seeks a higher yield than money funds, yet not as volatile as long-term bonds. What makes it also quite interesting is it has $2 NAD, so the penny volatility over a monthly basis is minimal, which is a great place for investors to park their cash and earn a higher yield, but not be subject to as a volatile market that you'd have if you had a higher priced bond fund. The new lineups of funds, visual 12, precious metals, natural resources, China, emerging Europe, domestic equity, and bond funds. Building for the future growth, increased ownership of Canadian asset management company, developing innovative and dynamic ETF products to expand the product lineup, monetizing our brand in over 170 countries through publishing of our financial commentary and other content. The next visual is showing the growth of ETF products. It continues. There'll be several factors for that, but we'll try to highlight that later. And then the strategic partnership, in the next visual, with Galileo. GROW plans to purchase an additional 15% of the company. And after purchase, U.S. Global will own 65% of the outstanding shares of Galileo, a Toronto-based company with approximately CAD250 million under assets, accretive to GROW, 5-Star fund manager and 2013 Lipper fund awarded for best small/mid cap fund over five years. And the next visual is showing the quarterly average assets under management. As you can see, there has been a decline and mentioned to you at the beginning of this presentation is that it peaked in March on '11. And what you do see when you look back is a real global growth, GDP growth peaked at this period and just as a class as a whole have predominantly moved with the growth of global GDP. The asset breakdown remains pretty well the same. We fortunately do have a very strong direct relationship of shareholders with us, while they're going through the other platforms like TD Waterhouse or Fidelity, National Securities or the biggest Schwab, it's having this intimate direct relationship with the investors, which we believe is key for us. The next visual is to show you our balance sheet. It remains strong and robust in light of the decline in the markets that we are known for and have our expertise. And there is, I guess, most significant shift we've highlighted last quarter is taking our money funds and rolling them over into the ultra-short government bond fund. We do get a higher yield and it's very liquid investments, at least you can comment/answer any questions regarding the impact of this. And then we have, you can see, earnings quarter and they had a big decline at year-end December, as we had to struggle with the process of delays and disappointments on streamlining our products. It's just a mountain amount of regulatory meetings and issues, et cetera, that at times appear so excessive, but it's what it is and it's just as costly. So we believe that we're turning the quarter on this transition as we probably characterized in our press release has transitioned to the new U.S. Global, the globe. When we take a look at next visual, it's the comparisons. And you can see growth has been down the value. The average share return activity has been 3.3%. Our peers, which predominantly have domestic equity funds, have been substantially higher. And our dividend yields are approximately the same. But what we are to look for is these higher returns in equity that we've enjoyed for over 10 years as being a strong leader in highest returns of equity amongst our peers. And as we find our product line on cost structure, this is what we've been doing. Just the long-term visual showing you what the returns of U.S. Global have been. And then we take a look at short-term. It's still so responsive to gold. We have a bounce in gold. Our company as a whole bounces much more rapidly. The gold ounces are down, as it tries to show on this visual, over 12 months. And you can see that we have outperformed the overall buy in a gold stock. And then short-term, there was a big surge in gold stocks on March 21st and we ourselves as a company rebounded dramatically and then gold stocks have rolled over and then same thing with (inaudible). But we have a higher leverage to rising gold prices than the average gold stock. Next visual is showing you that GROW is a above the 200-day moving average, which a lot of investors look at long term as a proxy. Now I'm going to turn over to hard working, Lisa Callicotte, our CFO, to give an overview of the income statement financial analysis.
Lisa Callicotte: Thank you, Frank. Good morning. I'd like to summarize our results of operations for the quarter ended March 31, 2014. Beginning on Page 26, we recorded operating revenues of $2.7 million for the quarter. This was a decrease from the $4.5 million we reported last year as a result of the lower asset under management during the quarter. As you can see on Page 27, operating expenses also decreased approximately $1 million or 26% to $3.2 million for the quarter. This decrease is due to decreases in subtle expenses, including the following. Employee compensation and benefit decreased $487,000 or 24% as a result of fewer employees and lower performance-based bonuses. General and administrative expenses decreased $332,000 or 25% mostly due to strategic cost cutting incentives including those related to our streamlining of products and services. Platform fees also decreased $238,000 or 36% as a result of lower assets held through broker/dealer platforms. Page 28 shows other income for the three months ended March 31, 2014, of approximately $400,000. This is mainly due to sales securities, but also includes dividends and interest received from securities held and earnings from our equity method investment in Galileo. As Frank discussed earlier, this is a strategic investment we have with the Canadian-based equity advisor. We currently own 50% and we're in the process of purchasing an additional 15%. We have slight net loss for the quarter of approximately $28,000 or $0.00 per share. This is compared to a net income of $41,000 or $0.000 the same quarter last year. Moving on to the balance sheet on Page 30, you can see we have $36 million in total assets. We did have a change in our cash and cash equivalents compared to June 30th, but this was due to a reclassification of cash and cash equivalents to trading security. As a money market, we were invested in converted to an ultra-short bond funds. Therefore the amount we had invested in the fund in December 2013, approximately $14 million, was transferred from cash and cash equivalents to trading securities. So cash and marketable securities combined to make up 80% of our total assets. And as you can see on Page 31, we still have no long-term debt. The company has a net working capital of $24.3 million and a current ratio of 16.4-to-1. With that, I'll turn it back over to Susan.
Susan Filyk: Thank you, Lisa, and thank you to everyone who was listening in this morning. You just have to see the noteworthy events going on at U.S. Global Investors. In the marketing and sales area, we continue to build the U.S. Global branch through our interactions with investors. Our institutional sales team engages daily with financial advisors who are current and prospective asset holders. As many of our long time stockholders are aware, several of our funds have been recognized for their leadership in investment performance. Since 2000, the funds have received 29 Lipper performance awards, certificates and top rankings. The global resources fund continues to be highly ranked by Lipper. As of March 31, 2014, our fund is in the top 12% out of the entire universe of mutual funds for the 10-year period. At least, three of our funds hold the top Lipper Leader rating. This rating is based on investor-centric criteria and on scale of 1 to 5. Lipper Leader funds of rate of 5 are in the top 20% of their category. The all American equity funds rates a 5 for preservation. The near-term tax refund rates a 5 for preservation and tax efficiency. And the U.S. government securities ultra-short bond fund rates a 5 for preservation and expense. Investors these days seek preservation and tax efficiency and are pleased to offer funds that are highly ranked in these categories. Free funds also continue to be highly ranked by Morningstar. As of the end of March 2014, the All American Equity Fund and the Gold and Precious Metal Fund had overall ratings of 3 Stars among their respective peers. The near-term tax rate refunds had an overall rating of 4 Stars in this respective category. We are pleased the near-term tax free fund has generated consistent positive annual total returns for investors for 13 years in a row. We're also pleased that the Holmes macro trends fund outperformed its benchmark, the S&P 1500 Index by 659 basis points during a stellar stock market year last year and has continued to beat its benchmark in the first calendar quarter. The goal of the fund is to focus on domestic companies offering growth at a reasonable price to align with stocks in quickly industries and investor experiencing positive momentum. Along with investment leadership, we also continue to be leaders in the financial industry based on our award-winning marketing and communication efforts. The Mutual Fund Educational Alliance has recognized the marketing and investment teams with 54 awards for marketing and communication excellence since 2007. Two of the repeat award winners are the Investor Alert and Advisor Alert, both named fast electronic shareholder and advisor newsletters for five years. These publications engage thousands of investors on a weekly basis with our original and insightful content. We believe a key to building assets is through engaging education content that helps investors learn about investing in global markets. Special reports are another format in which we share our expertise and build our brand. Our latest research is always available for download at usfunds.com. At the website, investors will also find a wealth of material, including slide shows, quizzes, media interviews and broadcasts. Our communication efforts receive an invaluable amount of earned media, which is publicity gains through sharing of content by third-party sources rather than paid advertising. This helps us leverage our brands by reaching millions of readers, viewers and potential investors. In addition, we interact with loyal and digitally-engaged followers through e-mail, Twitter and LinkedIn and Facebook. As you can see, Frank continues to be sought out for his opinions on the gold and natural resource markets from the financial news media. Kitco News, with an audience of 10 million monthly visitors, launched a new weekly show called Game Film featuring Frank's gold market analysis. Other interviews during the first quarter included appearing on CNBC, Bloomberg Radio, Stansberry Radio, GoldSeek, Palisade Radio and Resource Investing News. Other members of our investment team are also sought for their opinion through media including Business News Network, ThinkAdvisor, Financial Focus and VoiceAmerica emerging in frontier market investing. Now I'd like to turn it back over to Frank who will discuss what we've been watching in markets this year. Frank?
Frank Holmes: Thank you, Susan, and thank you, Lisa. Recent insights from investor alert, I think what's important here is that Golden Cross is bullish for the junior miners and this has always been a core value-added (inaudible) by being in the first move advantage in the creation of junior companies. But those type of markets have changed and we recognize the transformation of capital has changed, but the most important for us is to starting to see that the energy of emotions and sentiment is starting to show back up in the gold as the Golden Cross reflects with 50-day above the 200-day and we're seeing in the mid-cap space lots of takeover activity. The landscape has enjoyed this M&A drama. Now if we were to take a look at the next visual and we love using data and probability and statistical analysis to try to help us manage these emotions of capital markets. When we look back over the past 30 years, only three times in three decades, the gold stock declined for three consecutive years. So last year was one of those periods. And the odd is favorable for a rebound this year. And New York at Gold Investment Conference, which used to have thousands of people and now it's just a small handful of cherry pickers, loyal investors and some institutional accounts, we're looking for undervalued situations as of the concept has not been contrary, where no one shows up and the industry as a whole is shrinking, I can share with you that is taking place from what I'm just seeing in New York that I've not been to for a couple of years. Now with that, the next visual is the idea of being a contrarian investor, which a little back in Investor Alert in February is that gold stocks appear to be poised for a bounce. And we did start getting that bounce until approximately March 21st. But what's interesting is that there's still Golden Cross remained intact. As you can see in the next visual that is the gold sees the Golden Cross, which is sort of an important factor. Now I get asked so often what drove gold up and down. Gold last year was $1,600. It fell to $1,100 and it rebound to $1,300. And in North America, the biggest understanding of gold as an asset class is the fear trade, where the 60% of the demand for gold is up trade, which is predominantly Asia to the Middle East. It is the fear trade that captures the imagination of most North Americans. And what drives that fear trade predominantly is real interest rates. What would the government pay you for simplicity on a five-year government bond, whatever CPI is that month? And you get a positive or negative rate of return. So we go to March of last year. If you were buying a government bond, you were losing money, you were losing approximately 50 basis points on that money. And then by December, CPI had fallen and the five-year government bond yield had risen. It had gone up doubled. And what did that do is basically gave you a decline in gold prices, because interest rates (inaudible). So this is a very compelling inverse relationship to real interest rates. And then January and February and going into March of this year, we had a reversal, where interest rates went from being positive to back again being negative. And this drove the gold prices up. So that's what we're seeing is this wrestling between positive 10 basis points, negative 10 basis points and gold is up and down, up and down during this transition as we get into the summer and I see that we're going to get the seasonal pattern up for just holidays from a particular Asia that drives an up trade and used to higher gold prices. Another factor we commented in the next visual in our Investor Alert in February was this is the first time we saw a real spike in money supply, which means there's been a lot of lending taking place. Money supply is always starting to run at 8% cap and that has historically been a bullish monetary factor for gold prices. So having negative real interest rates again and having money supply starting to tilt up, which is used to get precursor to inflation gold start to make a rebound from its lows. There appears to be a major divergence in the next visual of gold and (inaudible) taking place and we try to comment on that for investors to try to educate and walking through, but at all times with investors and we strongly recommend that they have a 10% weighting on the rebounce each year. And in fact, we take a net 10% and suggest a 5% in gold stocks. Taking 5% into gold coins or beautiful gold jewelry and maintaining that asset. But during the whole process, I've always recommended this 10% of rebouncing. I want to point out to investors that there appears to be a great shift in gold ownership or called the great tectonic shift of physical gold, which you can see on the next visual of gold and big bricks leading the US going to Switzerland, where it's refined into smaller bricks and sold into China. Last year was a record amount of consumption that China consumed the total gold supply from all mines of the world last year. This year, in the first couple of months also, there is record consumption of gold. There was concern at this conference that it may be short term that people are waning on this consumption. But nevertheless, it appears that you're getting new vaults being built in Singapore, Shanghai just announced building a tax free area for gold trading to make it easier for gold to come into Shanghai. And these are all significant factors, because we've seen that with ever a city or a country house some form of a tax basis for trade over (inaudible) tax concessions you would track construction, infrastructure spending or you could with (inaudible) as you create a financial hub, because you've created tax benefits. And this is what Shanghai is doing. So I think to invest very positive. Next visual is showing you what I just commented, Chinese demand for gold remains robust, that they consume more than the total amount of gold in the marketplace that was produced last year. The next visual is showing gold jewelry, bar and coin demand remained resilient in 2013, most of the gold deploy into places, the GLV, which took place because of many funds, hedge funds that had liquidated. But there is always opportunities in this resource space and especially when it comes to precious metals and PGM, platinum group metals, are often characterized as being a precious metal. And you can see that palladium is breaking out. It's interesting at this conference I'm attending in New York, people didn't think that palladium was doing well. And I look at this visual and I pointed out it's doing well when we take a look at gold in the past several years. And why is platinum and palladium breaking out relevant to where gold is? It's because of two factors. One is supply, supply restrictions concerns from Russia and from South Africa. Those are disruptive, while the world continues to roll and use the platinum and palladium for (inaudible). And China has come out with new policies to basically emulate American policies for clean air and clean water to battle back their pollution. And this just means more significant consumption of platinum and palladium. The next visual is making palladium supply politically unstable. And so therefore, what's negative about Putin, there is a positive on the other side. Think this way as an active manager, something where the emerging, (inaudible) we had local in Russia and then we saw the Russians stock taking on a chain in decline, especially the domestic ones. But the palladium on the other hand, which we own in our funds, has had a nice counterbalance rising scenario. The next visual supports that Russia is the world's largest palladium supplier when compared to other countries to put this thought process in context. But what happened? We had a rebound coming in gold. And then all of a sudden, everyone loses their confidence. And the next visual is trying to help investors appreciate this, because we've written about the significance of the JPMorgan's Global PMI, which is the Purchasing Manager's Index, and why it's important. There is an arbitrage for global macro investors in that when you look at purchasing manager's index, the PMI, it's a forecast, it's what could be anticipated in the next six to nine months. And industrial production is what has taken place, when is the past and when is the future. And there is this arbitrage of something happening in between. And when the global PMI is turned positive in mid-year 2013, we started to see many energy names picked up and the base levels and we had published a piece showing what is the probability that when the PMI to one months over three months, what does happen to various resource asset classes. And we can go back and visit that later. But what the (inaudible) most important to investors recently is Japan. Japan's PMIs pulled down the global economy with a consumption tax. How long will this last? We don't think it will last very long. It will be several months at the most, but it's enough to turn around the investors' gold risk off. And we saw there is with that a (inaudible) even in the US sector, sectors that were leading in the overall performance all of a sudden industrials went from the top to bottom. Materials were (inaudible) around this uncertainty. And that provides a great investment opportunity for strategic long-term investors. On the other hand, the next one shows the bright spots for commodities. The FTSE All-World Index is approaching new highs. And global industrial production, I mentioned, is behind us, has turned up. And this is a classic visual of what I mentioned earlier regarding global real growth. As you can see, it peaked in 2011 and has been declining all the way to basically this year where I'm starting to see this increase. This is a very important for the health of the emerging economies and resources. And next one is just showing the African population forecast to grow four times it size in the next 100 years and demographics is very important. And also, even the class of '08., Africa was not impacted, because most of that was a cash business. There's no leverage. You can't buy a house or a mortgage. You can't buy car. Everyone has cash and they have a car. It's very much a cash economy. And many of these economies grew at 6% and 7% even in '08. So with the strong growth in population demographics, it's important to compare this to what we see in countries like Japan. Japan's populations are shrinking. Italy, where populations are shrinking, where government policies are trying to deal with this. The next visual is showing that technology is the best performing sector in Asia and this rotation in consumer discretion and healthcare. And what's interesting is that last year we had very similar strong performance sectors in the U.S., with consumer discretion up till January was doing exceptionally well and same with healthcare. So what we find in our global footprint is that when we have a strong sector that is taking place in America, quite often it shows up in Asia and sort of the idea of the (inaudible) global activity in relation (inaudible) looking at investments. The next visual show you that information technology and industrials benefited most from capital expenditure growth last year. And those sectors did well. It's also important in this global thesis of understanding these inter-market relationships. And (inaudible) with our Investor Alert unless we have a strong pulling around the world. The next visual is this income tax share of the top 1% has been rising. And you hear this it's always perceived and spun by many of the media and socialists, economists that the (inaudible) very compelling when you have 55 people and what's up, all of a sudden you purchase for $19 million. And here it's less five people being bought on by Instagram for a $1 billion and now we have our first (inaudible) being bought out for over $3 billion for its headsets. Very few people are participating in this $3 billion takeouts. There is few of the top 1% that all of a sudden (inaudible) it looks like their growth and the economics is improving dramatically when really there's (inaudible) driven by technology, not because of selling overpriced products or services to the rest of the masses. So it's important and make sure we try to do very much to alert and educate people on the facts and the trends and we get a strong response on this. So the great shift in the fair tax, we try to, as I mentioned this earlier, is to start to help people understand then and now the top percent being more in the bottom 90% in taxes. And they're takeovers. And there's intellectual using innovation to compete in the work base to make world a better place from products and healthcare and whatever, but only contribute to the global economic (inaudible). And America is the leader and it's a leader not because of its (inaudible). It has a lot to do with the idea of this peer competition and which starts at very young age and it goes into adults where there is (inaudible) competition. And that a young man is going to (inaudible) stationed for national competition and he had to go through basically three types of (inaudible), GMAT and LSAT level of knowledge gathering to go and compete on a national scale. This is America. (inaudible) innovation of compete. So the next visual is showing you will the sectors that lagged in January outperform the rest of 2014, and we like to show this type of interesting analysis, price reversals in sectors and make sure we get good stocks. The next visual just shows you reasons for active management, the annual rotation in leadership. As you can see here by countries, China usually the one that gets top, Africa stay up for several years. And the bottom half of it stays down. But we're looking at another active China fund manager who has been (inaudible) performance in the past five years, over 20% compounded, 90% of US active domestic fund managers in the US. The fund is still down over 90% assets just because of negative psychology towards China. And then we think this if flawed, because we tell people and share with them all the money, while the attraction of Obamacare (inaudible) many different reasons, people will miss one of the most attractive runs in the past three years of healthcare. And we like to show that from the growth of the healthcare sector, now we're seeing substantial M&A work. The next visual is showing you reasons for active management is gold. Gold rotates to the top and it sinks to the bottom. It's understanding those drivers. And we also like to advocate the 10% discipline. Having 10% in gold and rebouncing each year. It does have its benefits. It does (inaudible) volatility of the overall fund performance. And for years, gold is just rocketing. It does help overall. And here we've had a three-year decline and last year down two center deviations and still that discipline has not hurt the overall diversified thesis as a money manager. So this we'll continue to advocate, having an exposure to gold equities. And are you reading the U.S. Global Investor Alert? If you're not, please do sign up, connect with us. And now I'd like to turn it over to Susan.
Susan Filyk: Thank you, Frank. We don't have any questions at this time. So thank you for participating this morning. This concludes the U.S. Global Investors earnings forecast for the third quarter 2014. This presentation will be available for a replay on our website at usfunds.com. Thank you, everyone.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Have a good day, everyone.